Stephen Foots: Good morning, everyone. It's great to be with those of you who've joined us in the room and a big welcome to those that are on the webcast as well. As ever, I'm going to go through some of the highlights of the -- before handing over to Jez to go through the results in more detail. I'll then come back to talk about the key trends driving the growth in Croda and explain how we're well positioned to respond and benefit to them as well. So let's get started then. So, 2021 was a record year for the business, an excellent performance, demonstrating the benefits of executing our strategy with agility, speed and challenge in a fast-moving environment. Investments and acquisitions have driven strong progress across all areas of the business. And that's leading to the best sales profits and margins that we've ever seen. Significantly, ahead of last year and well ahead of 2019. High inflation relating to raw materials, energy and logistics was a significant headwind and we've leveraged our strong operating model and pricing capability to control a steep rise in costs, one of Croda's unique advantages. Innovation is at the heart of what we do. You know that now and it defines Croda. So it's very pleasing to see the NPP growth is so strongly ahead this year. Acquisitions have boosted our growth too. Avanti has established our lipid system platform, which achieved $200 million of sales, primarily to our principal vaccine customers. And our F&F business became -- delivered an encouraging performance with integration on track to achieve the synergy potential we talked about when we acquired it. And we've also accelerated investment in the business to capitalize on the enormous opportunities that we see to drive future growth. So, overall, in the round, strong and agile execution of our strategy as well. In the space of 18 months, if you think about it, we've acquired Avanti and Iberchem and we're in the process of selling the majority of our industrial business as well. So Croda's looking very different. The shape is changing and we're moving very much more towards a pure-play consumer care and life sciences company. If you just look -- turning to the headline financials then. We delivered a very strong increase in both sales and profits. Adjusted sales grew 36%, reflects the excellent organic growth in the core business and the impact of acquisitions slightly offset by adverse currency. So big growth in the core, plus acquisitions on top. Profits grew substantially too, a testament to our sustained focus on high-value high-margin niche areas of the market. So adjusted earnings per share, 43% higher, underpinning the Board's proposal to raise the full year ordinary dividend by 10%, delivering 30 years of consecutive dividend increases. And finally, we grew organic capital investment by over 30% to nearly GBP 160 million, which will drive forward our strategy to scale consumer health and crop care businesses, leading to a more consistent sales growth and even stronger profit margins in the years ahead. We're seeing strong structural growth too. If you cast your mind back, we're well ahead of pre-pandemic levels. 2019 is a tool we use, the results from other comparator for 2019, is a tool we use for management to look at real comparisons, rather than last year. And it's great to see -- if you see the graph on the top left, great to see all the businesses double-digit on the -- showing double-digit underlying growth in each of the sectors. So the top right shows the reported operating profit, up 38%. And below you can see our EPS has progressed to be 35% higher. And there's also been a marked increase in NPP as I mentioned earlier, increased from 28% to 37%. So as we become more knowledge -- more and more a knowledge-intensive company, we commercialize people's knowledge, not metal capacity in our world. So underlying growth in 2021 was strong across the board. We had -- whilst Healthcare was a standout performer Crop Protection and Life Sciences also had a good second half too, contributing to this 40% increase in sales of Life Sciences. Consumer care delivered a strong set of results as well, consistent throughout the year. We're seeing a resurgence in personal care. Performance technology strengthened in half two, driven by improved demand in its more cyclical end markets. And all regions also delivered impressive sales growth, with the consumer recovery strongest in North America. I mentioned inflation a moment ago and this slide helps to illustrate both the challenge and our ability to successfully navigate it. 2021 saw the highest rise in raw material costs in a decade, up 17% on an underlying basis. Energy costs rose significantly, with freight also rising by 25%, big headwinds of cost. You've seen that in the industry as well. Underlying sales volumes are very healthy. We're pleased about that. They grew 9%, reflecting very strong trading, but we fully recovered the impact of higher input costs, demonstrating the continued strength of Croda's operating model and alongside an improving product mix as well. So, if you look at the overall mix up 17%. The consequence of strong demand and faster growth was record profit margins increasing to 24.8%. Our non-financial metrics are just as important as our financial results. And last year, we became only the third chemical company in the world to have our 1.5-degree target verified by the science-based targets initiative. Our objective is to be net zero by 2050 and to ensure that we're investing in our site decarbonization road maps. Whilst the divestment of PTIC will make us less carbon intensive, we will rebase our climate targets to maintain the challenges that we've set ourselves. We're also improving diversity and inclusion, achieving both targets of the Hampton-Alexander and Parker reviews at the start of this year. The proportion of women in leadership across the business now increased to 36% leadership positions. And we've established the Croda Foundation, through which we're providing £1 million of funding annually. And this year we've given an additional £2 million on top to reflect the progress in our Health Care business. And the first project will help deliver vaccines to over 50 million people in India, Brazil and Uganda. So our sale of the majority of PTIC, which was agreed in December, was a significant strategic step for the business for lots of reasons. And on completion Croda will become a more carbon-light business but we'll also have more intellectual property as NPP sales in Consumer Care and Life Sciences are nearly half the total in the business. So our increased exposure to fast-growth markets will translate to faster top line growth and increased margins. And we will be more focused and in an even stronger position to drive consistent superior returns in the future. So let me stop there, more for me in a moment and I hand over to Jez for more detail on the numbers. Thank you.
Jez Maiden: Thanks, Steve, and good morning, everybody. As Steve has said, 2021 has seen a record financial performance for the group. Sales were up 36% in reported currency at almost £1.9 billion, an increase by 43% in constant currency. Sterling strength means that reported currency numbers are about 7-points below the constant currency numbers. Adjusted operating profit increased by 47% to £469 million, with a better product mix and volume growth return on sales increased by 180 basis points to 24.8%. Adjusted profit before tax was £445 million, up almost 50% on the prior year. The tax rate reduced to 21% with a one-off benefit from settlement of a previous uncertain tax position. We expect to revert to around 25% tax rate from 2022. Adjusted earnings per share rose by 43% to 250 pence, with the proposed full year dividend increase to 100 pence, up 10 pence per share and 14% in cash terms, following the Iberchem funding for the equity. This is the 30th successive year of dividend growth as Steve has said. And earnings cover is at the lower end of our range of 40% to 50% of adjusted earnings. So, we're in a good place there. Free cash flow reduced by 13% to £154 million due to higher capital investment and working capital build, and I'll talk about that later. Adjusted profit items charged in the period totaled £34 million. This reflected an increased charge for intangible amortization following the recent acquisitions. Exceptional items were netted to pretty close to zero. Profit before tax on an IFRS basis was up 53% to £412 million. The left-hand chart shows the sales bridge for 2021 versus 2020. Underlying sales, that's from the existing Croda businesses pre-acquisitions, were up 26% in the year, of which price mix was plus 17% and volume was 9% higher. We're particularly pleased with the volume growth, as it demonstrates the strength of the existing business. Price mix includes the recovery of inflationary costs but with a significant benefit as well from product mix, reflecting the growth of the high value businesses, particularly in beauty actives and Health Care. The first year of acquisitions added 17% to group sales, giving for 43% increase in constant currency sales. Now the right-hand chart shows the impact of lipid systems growth. As of the half year, this has had a meaningful impact on the full year performance and it would be easy but incorrect to conclude that the overall record result has been driven solely by this. Of the total constant currency growth of 43%, 10 percentage points have come from Avanti and the lipid systems platform; 20 percentage points have been delivered from Croda's existing business, reflecting the strong growth in Consumer Care and the rest of Life Sciences as well as Performance Technologies; and the acquisitions in Consumer Care added 13 percentage points of growth. So the growth is very broad-based. This sales growth has also been reflected in the profit bridge. The underlying business delivered £116 million of profit growth. We saw growth across all sectors and all businesses. We're now trading well ahead of pre-pandemic levels across the existing Croda business. Acquisitions are shown separately up to the first anniversary of their purchase. Profit from acquisitions added £58 million in 2021 and currency translation reduced overall reported profit by £25 million. Turning now to look at each sector and how it's contributed to the growth. Consumer Care sales grew by 45% and adjusted operating profit was 29% higher. The lower profit growth here reflects the fact that Iberchem operates at a lower margin than the Personal Care business. And as a result of this dilution effect return on sales overall for the sector was around 25%. The standout performer was again Life Sciences. Sales grew in 2021 by 46% and with a stronger product mix adjusted operating profit rose by two-thirds with return on sales at 36%. Performance Technologies saw a strong sales recovery with sales up 18% all organically driven. The benefits of greater volume and the operating leverage impact saw adjusted operating profit 32% higher and return on sales of around 15%. Now looking at each of the three principal sectors in turn. 2021 saw the creation of the Consumer Care sector comprising Croda's leading personal care business in Personal Care, our growing Home Care business and the Iberchem fragrance and flavors business. Personal Care saw a strong rebound in sales in 2021 with underlying sales now 15% above the pre-pandemic level of 2019. Growth was strongest in the high-end IP-rich engine of Beauty Actives including Sederma with sales up by 29% on 2020. And after a challenging couple of years, the Beauty Care business saw a progressive improvement in demand for skin care, sun care, cosmetics and hair care, with sales 13% higher. The business is focused on sustainability-driven innovation including products from the US ECO plant. After strong demand for hygiene products in 2020, Home Care sales growth slowed to 8%, Fabric Care and ECO products are the key drivers of growth here. The Iberchem business has proven to be everything that we hoped it would be. The innovation in particular is very exciting. Integration is on track and the first cross-selling synergies are being delivered. 2021 saw an encouraging performance despite combination of slower growth in COVID-impacted emerging markets and a lag in full inflation recovery but our profit was in line with the acquisition plan. Looking at the bottom chart, with Beauty Actives sales strong, product mix improved in Consumer Care. Price/mix was 13% higher and volume was 5% up. Acquisitions added 35 percentage points to the sector and the consumer sector is now well set to deliver our objective of mid-single-digit percentage sales growth before inflation recovery. Life Science continues to develop into a business to rival Croda's long-held leadership in consumer care. With its focus on drug, vaccine and crop science delivery systems, the sector is growing sales through organic expansion and by leveraging acquired technologies. 2021 saw sales up 46% and adjusted operating profit up 67%. Within this, Health Care delivered an outstanding performance with rapid expansion in all three patient Health Care platforms. Sales of vaccine adjuvants were up over 40% alongside specialty excipients. And meanwhile the lipid systems platform saw sales of approximately US$200 million for COVID-19 vaccines. Crop Protection delivered double-digit percentage growth year-on-year, in what was a great year for agricultural demand globally. The growth in seed enhancement was more subdued due to slower markets in Europe and North America. The growth of Health Care and the top end of crop is driving a focus on value not volume. Innovative products, sell at much higher prices and volumes are measured in kilos not tonnes. As a result, price mix added 35 percentage points to sales growth, whilst volume rose by six percentage points. The broad-based sector growth can be seen in the chart on the right-hand side with an overall contribution of 17 percentage points from Croda's existing business, supported by 37 percentage points from the Avanti acquisition and the broader lipid systems platform. Life Sciences is expected to see high single-digit growth in the medium term, excluding inflation recovery. In Performance Technologies, 2021 saw a continued improvement in sales, driven by a recovery in high-end markets and sustainability-driven demand. Margins also improved due to a better business mix and operating leverage. Sales increased by 18% equally split between price mix and volume. In December, we reached agreement to sell just over 3/4 of the combined Performance Technologies and Industrial Chemicals business or PTIC and there was no impact on the 2021 results from the divestment other than an exceptional charge for the advisory costs incurred during the year. However, had the divestment occurred at the start of 2021, we estimate that sales in PTIC would have been around £360 million lower and the impact on adjusted operating profit from the divestment, together with the result in stranded costs in the business would be just short of £60 million per annum. We're now working through the separation process and expect completion during the summer of 2022. We've already begun the redeployment of capital from the PTIC divestment. In 2021, we increased our capital spend to almost £160 million. We're following our buy-and-build strategy of acquiring into exciting technology adjacencies like vaccine adjuvants and lipid systems at sensible multiples and then expanding them organically through capital investment, which reduces the risk and avoid significant goodwill, thereby accelerating returns. In 2021, we invested £70 million in Health Care. We also expanded our range of sustainable technologies in Consumer Care. And we began an investment in botanicals and fragrances as part of our fast-grow China strategy. The other key cash outflow in the year was £100 million working capital build. This reflected an increase in raw material costs and selling prices, higher sales volume and tactical increases in inventory to mitigate the global distribution challenges that we faced, similar to many other companies. The impact of higher values of working capital at a constant level of days cover, added almost £70 million, as you can see in the right-hand chart, while the increase in contingency stock added a further £45 million, and this will reverse as price increases and distribution challenges normalize. As a result, free cash flow was £154 million, £23 million behind 2020. We're following our long-established capital allocation policy, which guides the way we deploy capital. Firstly, we're investing in organic growth as you've seen, while increasing the ordinary dividend as part of our long-term commitment on returns to shareholders. We invested in acquisitions through Alban Muller and Parfex in Consumer Care. And closing leverage was 1.4 times EBITDA, well within our target range of one to two times. We'll continue to follow this policy investing for the future, increasing the regular dividend and returning excess capital as and when this is identified. I'll now hand you back to Steve who will update you on our strategic priorities.
Stephen Foots: Thanks -- many thanks Jez. Right a little bit more from me then on Croda's strategy and it's all about moving into faster-growth markets. You've heard this from me many times. We're focused on those markets that can value our innovation and through high margins, less cyclical as well as capital and carbon light. So, we'll combine our leadership position in sustainability with our leadership position in innovation. You need them both to deliver profitable growth. And at that intersection, you get fast growth. So, if you just look at our strategy our strategic priorities. We've done some of our best strategic thinking during the COVID-19 pandemic with the Board and executive committee together recently finalizing our strategic plan for the next five years. And our priorities are shown on the outside of the rim of the circle. And in addition to expanding and strengthening our core sectors, we'll also scale biotechnology and invest to faster growth in China as well where the personal care market for example is growing at 9% a year. We'll continue to look to acquire disruptive technologies as well along the way and also continue to what we call do the basics brilliantly and increase both our responsiveness to customers and engagement from our employees. So, today if you look about sustainability consumers care more and more about it and their impact on the wider environment as well too in the brands that we sell to. Our customers want us to deliver novel sustainable ingredients that are ethically sourced and produced from lower carbon manufacturing. And this is how we think about sustainability and the opportunity. So, we're seeing a big shift from the pandemic. We're ramping up innovation too and it's our life blood as you know. We've invested 50% more in R&D resource in the last year undertaking bigger bets with more ambitious projects and we'll roll some of these out with you through the calendar this year. So, we've got about seven major projects that we're working on at the moment. And at the heart of our strategy is our purpose; Smart Science to improve lives which we'll control and continue to guide the strategic choices that we make. Across the markets we see -- we like trends and there are two mega technology trends which we think are the most important for us driving our future. The first is the demand for sustainable ingredients. As I mentioned earlier consumers want more products from natural and ethically sourced ingredients. And that's benefiting consumer as well as the crop business. And the second is the move towards biologics in Crop Care and Pharmaceuticals which offer transformational opportunities for Croda which I'll come on to you shortly. Big opportunities presenting themselves in biopesticides and biopharmaceuticals, which is really exciting for the group. And the way we look at Croda now and the way I want you to look at Croda now is we've got eight growth businesses supported by industrial specialties. And within Consumer Care, most of you are familiar with our Personal Care business where we deliver thousands of products to thousands of customers, all of which with rich IP. We've got eight businesses like that now run by dedicated management teams and they're on forward-thinking customer-led R&D capabilities. They're also applying critical ingredients to low inclusion levels and often selling in test tube quantities rather than tanker loads replicating the model we have in Personal Care for many years. So, all eight businesses have excellent growth prospects. And we say a great opportunity for each of them to deliver as a minimum one and a half times GDP. So, if there's a takeout for the slide multiple opportunities for growth across multiple sectors. 10 years ago, some investors would have invested in personal care as a priority. Take a look, you can invest in health care, you can invest in crop care, you can invest in fragrance and flavors, and you can invest in personal care as well. You can invest in all of them now. So, turning to each of these areas in a bit more detail. Beauty actives is a really important business for Croda and we're a market leader in peptides, naturals, and biotechnology all of which are seeing higher growth than the average global beauty market and we expect that to continue. Our genre-defining peptides such as Matrixyl are formulated into 80% of all new anti-aging products containing a peptide. We're also developing next-generation active ingredients including peptides using synthetic biology. And 80% of our Beauty actives R&D pipeline is green. We acquired Alban Muller deliberately which develops innovative botanical ingredients such as anti-inflammatories made from pomegranate and all things. And we've also introduced ingredients -- botanical ingredients into China as well and acquired land for a new facility which we expect to build in 2023. So, a third of our active products as well are biotechnology derived in revenue terms today. Most well-known of which is Majestem for skin and neck lifting somebody of you might have tried that before. And we acquired Nautilus as well in 2018 a technology-rich marine biotechnology business which has recently launched Venuceane, an active derived from marine microorganisms as well to repair sun damage. Sederma moving increasingly into sustainable ingredients into faster growth. And we're winning too in sustainable ingredients in both Beauty Care and Home Care as well. We're the market leader in metal oxides on the left-hand side use sustainable mineral UV filters for sun creams and have invested in Entekno partnership, which has launched a range of high protection mineral products with additional non-whitening benefits so positioning through partnership to meet sustainable ingredients. And in sustainable surfactants, we're displacing petrochemical competitors in formulations increasingly with our broad range of ECO products. And in 2021, we secured a three-year contract with a major beauty brand covering six ECO surfactants for high-end skin and hair care; the start of things to come. And in other areas we're also seeing in sustainable surfactants legislation change through sulfation sulfate-free brands now are on the market everywhere. And we're getting the benefit of that through our ingredients through clean beauty products with sales doubling over the last four years. So we're starting to see this big shift materially improving the growth profile for our Consumer Care business. And in Home Care it's just the same. But what you see there is a big move in the wash cycle to lower-temperature washing. That's allowing us to provide active biopolymer ingredients. And we just signed some lucrative contracts with a big customer to improve their fabric conditioner range around the world that's been launched in 30 countries improving their brand. So lots of good opportunities coming through and you start to see that in the numbers with Consumer Care. In fragrance and flavors as Jez said, we're really happy with where we are. We're on track with the €48 million of annualized revenue synergies by 2025 and we're leveraging our combined sales network with 10 target countries identified and opportunities across customers of all sizes including major brands regional dynamos and indies. In Brazil, a new Iberchem business and R&D laboratory has been set up and established at an existing Croda site there and is delivering its first sales too. So this year we also acquired Parfex again sustainable ingredients a big shift there. They create fragrances principally for premium personal care and fine perfumery markets. And we're leveraging their natural raw material base to their portfolio all part of the plan to capitalize on growth opportunities for Ecocert accredited products. We doubled sales of these product lines during the year. So turning next to crop. We've talked to you a lot about the traditional crop care market on the left-hand side of the slide a big market with compound annual growth of about 3%. An existing partner to the major crop companies, we've also successfully increased our sales to medium-sized and small customers who now account actually for about 50% of sales. So it's not just about the four or five big multinationals. We've got a broad breadth to our programs now. But more exciting is the move to buy pesticides. Whilst it's currently a smaller market it's growing rapidly. And we're now increasing our innovation for next-generation delivery systems for microbials and RNA things like that. Sustainability trends are driving Seed Enhancement too where we have secured our first customers for seed treatment, seed coatings that are microplastic-free. And we've recently opened an innovation center in Brazil to their state-of-the-art facility including formulation microbiology and seed treatment laboratories. And keeping the best to last. Let's talk about moving to biopharma in our patient health business. As you know our drug delivery capability is founded on three world-class platforms all of which meet the need for specialist delivery systems for biopharma applications and where we're seeing compelling opportunities for future growth. I'll talk more about the pipeline shortly. But just as a recap slide growth in excipients has been driven by expansion in injectable drugs using biological active ingredients which dominate new drug launches. The opportunity here is vast extending to the newest biological drug innovations such as monoclonal antibodies save that for a few minutes more than 5,000 of which are currently in clinical trials. And our adjuvants provide the important accelerator to a range of new global vaccines. The market for prophylactic vaccines save that for a few minutes has more than doubled in the last two years. And in addition more than 1,500 clinical trials are currently underway for therapeutic vaccines. Lipid systems offer significant potential beyond COVID-19 as a preferred delivery system for the developing science of nucleic acid therapeutics. And you'll hear a lot more about that from Croda. The mRNA market alone is expected to reach about $35 billion over the next 15 years and 180 clinical trials are already underway for applications across preventative and therapeutic vaccines and therapeutic drugs. So we've got three world-class platforms, all of which are offering great opportunities for Croda. So the pipeline then. So turning to it, it's getting bigger much bigger. In 2021, we secured 130 new customers, 250 new clinical and preclinical programs, with our products we're involved in. And interestingly, two-thirds of those programs are non-COVID-19 applications. We're not a one-hit wonder in Croda in COVID. You have a look at the non-COVID growth profile for Croda in the next few years in year 5 year, 10 year spreadsheets. In terms of providing some color on the variety of programs, we can say that oncology programs make up the majority of our specialty excipient pipeline, as well as immunosuppressants for diseases such as diabetes. In vaccine adjuvants, we're becoming more involved with the fight against WHO-listed diseases too. So we're now contributing in high-profile projects to combat 15 of those 24 priority diseases, including new projects for things like HIV and Ebola. And in lipid systems, we're involved with multiple projects and multiple customers and we have relationships with over two-thirds of companies developing mRNA vaccines and drugs. So we're very well placed there to satisfy future growth. So these are – and I think taking a big step back from this Jez and myself will say these are the hallmarks of a terrific new Croda business. Probably, the most exciting thing, I've seen in my career to date. And given the rapidly developing pipeline, it should come as no surprise that we're investing our money in it putting our money where our mouth is investing ahead of future growth to satisfy future growth as well. Our preferred approach is to adopt this buy-and-build model, you're securing new technology platforms like Avanti, and the know-how that we get through that with modest acquisition spends and building site expansion around that. Their model was a good one, but it didn't capitalize on the big growth coming through the clinical programs. We think we can do that. So overall, we've invested more than £100 million in the last two years including £70 million in 2021 with a similar amount committed in the future. So in specialty excipients we've doubled capacity – yes in specialty excipients we've doubled capacity in the US. We're also expanding in Asia investing £15 million to increase our capacity there as well. And in adjuvants, you'll see we've doubled capacity at our site in Denmark as well. And for lipid systems, we've doubled the number of employees at Avanti with £35 million of investment to double capacity at their Alabama site. This has been complemented by £20 million of investment, to create a new scale-up capability in the UK. These are already some of the highest returning investments in our portfolio and we're confident that this trend will continue. So in addition, we've also increased people numbers by 40% which has sort of hit the Life Science margin you've seen in the second half of the year, but it's because of growth future growth, and there's lots of it. So lots of progress and all part of our plan is to build an unbeatable global drug delivery capability with three world-class technology platforms. It's not just lipid systems. It's not just vaccine adjuvants, it's specialty excipients over three platforms. So finally coming to outlook, we expect to see continued underlying growth in the year ahead driven by this robust consumer demand we're seeing. We expect that to continue. Raw material prices are increasing and growth investments are offsetting any further customer destocking. We're navigating inflation very well. And as guided to previously, we expect lipid systems to be at a similar level to 2021, and margins will remain strong due to an increased proportion of sales from higher value-add solutions. So in summary, it's been an outstanding year for Croda, with strong financial and strategic progress, and we're well ahead of pre-pandemic levels and demonstrating our ability to navigate this high inflationary environment very well. We're more knowledgeable and a more intensive business as well with that focused on higher growth, higher R&D, higher return markets, in a stronger position to deliver more consistent sales growth stronger profit margins in the future, and it's an exciting time for Croda. Of that, there is no doubt. Now, Jez and I are very happy to take your questions from the floor and from the webcast. Thank you. 
Operator: [Operator Instructions] 
Q – Unidentified Analyst: Thank you very much. Two questions from me please. You mentioned strong margins in Life Sciences in 2022. Could you help us define strong if possible, please? And then secondly, on -- you mentioned raw material inflation no surprise. Can you help us what that looks like for Croda in 2022? And if there's any variance between I guess, core Croda now so Consumer and Life Sciences and what it might be included PTIC if you could break that out. Thank you.
Stephen Foots: I'll do one. Jez can do two. Yes I mean on the margins, the Life Science margins come off in the second half you've seen that but it's all to do with the increase in numbers that we're seeing and the increase in capital we're putting in the business. So, yes I'll come back to answer your question in a minute, but Avanti particularly we started with 125 people in Avanti. We've now got nearly 300 people. And the model that we're adopting is that's a preclinical machine. It's sending out samples at a veracious rate right across the spectrum to pharma company. So we're in a lot of preclinical programs. As anybody knows in the pharma industry, once you're in preclinicals, then your job is nearly there -- nearly complete because we should roll into the clinical 1 2 and 3 programs with the support we've got from the preclinical relationships that we've got. So the most important thing, is making sure that we're responding quickly to new molecules, existing molecules and synthesizing things in a slightly different way. So the lipid system market needs slightly different products. So a lot of these clinical programs we've got not just lipid systems, probably multiple products slightly different products for multiple customers. So there isn't one standard product that serves this. So there's a lot of craft needed from our Avanti team to make sure that we are adopting the right products in the preclinical program. So we put a special emphasis on that. And you've seen that margin come off in the second half. I think the way we look at that stabilized now, because we've put a lot of those people in. I think we're talking about 35% margins for Life Sciences this year on an ongoing basis. The growth outside of lipid systems, the growth is still in the higher-margin areas. So you would expect that margin increase to continue. So we're not seeing a sort of a deterioration in margin, which is uncontrolled it's all targeted for growth because of our confidence in the growth. There's a little bit of depreciation in there coming off some of the assets. And also actually to a smaller degree, crops had a great second half as well. So there's a bit of dilution in crop in there as well. So there is absolutely no problem with margins in Life Sciences far from it. You're just seeing a stabilization once we put a lot of energy into these preclinical programs through people putting people on the ground. So that's really important. And it's a testament to our confidence in the business going forward. Our capital confidence, but also our people confidence in putting resource in as well. This market could get very interesting for Croda in the next decade. Jez, on the second point? 
Jez Maiden: So Charles, so raw material recovery and so forth. So in 2021, we had -- as Steve said 17% increase in raw materials. So clearly there's an annualization effect to flow through probably about half of that to flow through in 2022, which is a straight sales price recovery. And then we've seen some further increases in the first quarter, with maybe some early signs in the second quarter that there's fewer of those increases because we feel it got inflation -- raw material inflation should slow down at some point and maybe we'll see that in second quarter but it's still quite early to confirm but maybe we're seeing that. And what we showed in the model is we're very successful in recovering that. Little bit of a lag in Iberchem, which is common to I think all of the flavors and fragrance businesses. But they'll get there and so forth in there. But the Croda model works very much on achieving that recovery on a quarter-to-quarter effect. And as you can see, there's been no margin impact -- adverse margin impact in terms of doing that. So confident of seeing that recovery. Now then when we break down sales and margin, we sort of think of sales growth sort of independently. So we're certain that we're going to recover any raw material inflation that we see sort of going forward as we did last year. So what we're doing is -- what we're then saying is okay, so then think about the underlying sales growth that we're seeing. And I think in Consumer Care, we're seeing that as mid-single digit but there'll be price recovery on top of that. But that's sort of pass-through in effect to maintain profit. In Life Sciences, we think that will be high single digit. So we – although, we expect to see lipid systems flat in 2022 in sales terms at $200 million, we still expect to see very strong growth in the other two platforms and we expect to see strong growth in crop. So I think we can see high single-digit sales growth as Steve says at margins, which is certainly in the mid-30s for the Life Science business. And then in Performance Tech, we'll expect growth to be more in the GDP range. But again, with margins at or a little better than the levels that we've seen in 2021. So I think what we should be seeing is some really steady growth some raw material price inflation recovery on top, as well as the annualization effect and then some margin improvement as well. So then if that sort of deals with the question. 
Q – Unidentified Analyst: Yes. Sounds good. Maybe just on the 17% raw material inflation is there a big difference by divisions? I'm just thinking with PTIC being here for the half of the year just thinking in Consumer and Life Sciences is 17% still about the right ballpark, or is it more or less?
Jez Maiden: Yes. It's quite interesting. If you look at the release where we've broken out the sort of price mix in the underlying businesses it's actually, I think, it's pretty sort of consistent. So if we look at so that 17% raw material recovery is probably about 6% on sales given that raw materials are just over a third of our sales value. But there's some inflation recovery going on in terms of energy and distribution costs and so forth in there as well. So I think when you then look at the -- as it happens 17% increase in sales price mix that's probably about half of inflation recovery eight or nine percentage points. And then the rest is the mix effect coming through particularly in Consumer and especially in Life Sciences. So interestingly, when you look at the price mix we're up 13% in consumer. So that feels like sort of nine percentage points of sales price and three or four percentage points of mix with actives doing well. If you look at Life Sciences, it's very heavily mix-driven, because you've got these very small volumes, but at very high values per kilo compared with a normal model of selling in tonnes. Then if you look at Performance Tech, you've got 11%, and you'd expect in Performance Tech that to be almost all price recovery, because there is some innovation going on there obviously, but it's not of the same scale as the other two sectors. So I think from that point of view, you can see that actually the price effect is pretty equally spread across those, but the mix effects are quite different particularly in the two sectors that we're focusing on going forward. 
Q – Unidentified Analyst: That's really helpful. Thank you.
Jez Maiden: Thanks. Okay.
Nicola Tang : Thank you. Hello. It's Nicola from BNP Paribas Exane. The first question was actually just to pick up on the outlook and the comments you made around destocking or customer destocking. I just wanted to clarify if that's something you've seen already and if so which areas? And what should we be looking out for? And the second question was around investments. You clearly talked about already reallocating some of the PTIC proceeds. You talked a lot about the Life Sciences investments. How should we think about CapEx or investment going forward not just for 2022, but in future years? And is it still mainly in Life Sciences, or is it also on the Consumer Care side? Thank you.
Stephen Foots : Well, let's start with investments. I mean, the way to look at the investments really and new Croda really if you call it that post the sale of majority of the industrial business, we still screen by and large for about 6% of revenues in CapEx. It was capital-light. It's not getting any -- it's definitely not getting any more capital-heavy if you like. The incremental spend on top of that is virtually all going into this drug delivery platform around the world to seek this -- capitalize on the growth. We're sitting on 250 big projects. There was a time in Croda where one or two we got excited. We've got a lot more now. So clearly, not -- a lot of them won't get there, but all we need is a few of them to get there and we can satisfy that growth. So the model is about the normal screening for about 6% plus the incremental spend. That incremental spend will continue in 2022, but then probably moderate. I mean, it all depends on what we see in terms of looking through our intelligence platforms around the conversion rates through the clinical programs. But at the moment we've guided to around £160 million this year, but a lot of that is because of the incremental stuff on top is all into the slide you saw on the build and scale for drug delivery. It's all about the incremental spend there. Jez I don't know if you got any other comments on investment on top of that. 
Jez Maiden: No, that's fine. So yes it's still spread across the two, but as Steve says the extra spend, which we think is probably a three-year period of additional spend at the moment that we can see. So we think we'll run at an elevated level through a three-year period and then return to the more normal level, which is probably near -- yes, maybe £100 million 6% of sales that sort of level. So probably three years of this elevated level as Steve said, very much focused on Health Care.
Stephen Foots: And I think in terms of the demand, we're cautiously optimistic looking at next year. What we didn't see, like many in the industry in quarter four, we didn't see the seasonal downturn that you expected it just continued. And it's continued very strongly at the start of this year as well. So there's no surprise there. A bit of inflation in there as well. So raw materials are going up further in quarter one. And we expect that to moderate. And the inflation around Croda's business is -- it's quite interesting, because it means that there's volume growth that's demand-led by and large. So you get the volume growth. And then you also get pricing on top. So we would expect raw materials -- in a world that we can see today, we expect raw materials to sort of moderate off their tops, from quarter two onwards. So I think in the -- if you look through the 12-month period a little bit of a raw material increase weighted to the front-end. In terms of stocking, I mean, we don't see any big changes, but there's some moderation. And I expect it to come in the consumer industry more than anything. Consumer Care where L'Oreal, we're out with 7% or 8% market growth rates for them in 2021 and about 5% for Personal Care in 2022. We're not too far away from that, in terms of what we say. So I think it's still very buoyant, as a resurgence. Think that resurgence will continue at a high-level, but there's probably a little bit of stock trimming that comes on top of that. So still very, pleasured progress. So in the round, we don't see any big de-stocking effects coming, but just more trimming around the edges I think.
Jez Maiden: I think it may be more pronounced. If you get any effect it tends to be in the Performance Technology business, which is one of the reasons that we've gone for -- the divestment moves us away from some of the cyclicality that Steve spoke about on one of the earlier slides. So I think you tend to see a little bit more cyclical variation in automotive and industrial markets. The whole move to Life Sciences and Consumer is about making the business more consistent in terms of and accessing the higher growth rate and we don't see that changing.
Sebastian Bray: Hello. Good morning. It's Sebastian Bray of Berenberg Bank, speaking. I have a few questions, please. The first is on the definition of lipid systems sales and visibility out to 2025. Steve, you've talked earlier about the opportunity from preclinical Phase 1, Phase 2, Phase 3 trials in this area. Can I just confirm the $200 million sales figure for Croda sites does not include as a rough guess the $40 million to $50 million of sales for Polar Lipids, separately that flow to the preclinical market? And if that's the case, Steve, I think you've mentioned in the past achieving a $200 million size business by 2025, or maintaining it at that level. Does that effectively imply a net loss of $50 million of sales, because at the moment we have let's say $250 if you include the preclinical applications? And does that go to $200 million by 2025? What type of visibility do you have there?
Jez Maiden: Yeah, happy to. Hi. Sebastian. So the lipid systems definition includes Avanti sales where they're going into the LNP platforms. So Avanti has this 50-year history of being an R&D house basically of being able to produce different delivery systems for customers who are primarily in preclinical and clinical trial stage. And some of those are lipid-based and some of them are other chemistry-based. So what we're including in the lipid systems is just those which are going into LNP applications which right now is pretty much COVID-19 applications. So they're either the vaccine contracts with the principal customers or they're the other COVID-19 areas that have been developing overtime. And those are the sales that we're making. You're right to say that on top of that, there's a bunch of sales $40 million $50 million might be a little bit strong but there's some more sales which are all part of that R&D development capability that serves about 2,000 pharmaceutical customers. It's the $200 million which is currently very focused on the COVID application that we see developing into non-COVID. And that's where the projects that Steve talked about in terms of the pipeline are really coming through with two-thirds of those being non-COVID applications. And we're great with the COVID applications, but obviously the non-COVID ones are also about longer-term treatments other vaccines, therapeutic drugs et cetera. So what we want to do is to morph this portfolio over time to a $200 million portfolio with lots of customers and lots of applications. So increasingly that $200 million, which is right now focused around three or four pieces of business with one big piece of business in there obviously will develop into multiple customers and multiple applications in COVID and non-COVID applications. So on top of that you have the Avanti. I'll call it a catalog business but that's not really fair. It's the thing where R&D people in the pharmaceutical industry are ordering very small amounts of different things. That business will carry on that carries on growing very nicely at probably 5%. But the big opportunity is the development of the lipid systems capability into a whole new range of different ingredients for mRNA and gene therapy. So definitionally wise we're just focusing on those sales that are going into sort LNP-based systems basically.
Stephen Foots: Just to add to that to the 2022 and 2023, we see three -- for lipid systems we see three different types of revenue stream. We see, obviously, from the big partnership we've got that will continue into 2023 as well. We have a contract there. So the rollout will continue. We might think in the UK we're near the end of it, but we're just starting in some parts of the world. So that rollout will continue there. And also you've got -- obviously got these booster jabs and the regular annuity that might come with that. And also on top of that for that revenue stream one is the potential flu vaccine and RNA together, which could be quite significant. And again a lot of R&D in there as well, but that could be a solution, which extends actually RNA a bit longer than you think in COVID because it could be wrapped up in a flu vaccine as well together, which would be a unique thing to do. So that's revenue one. Revenue two is we have other customers in the COVID space with lipid ingredients. So as Jez said there's a small number of those that will be attracting revenue with 2022 and 2023. And then also on top of that it's the non-COVID applications in clinical programs and we already have some revenue streams coming later this year. At the start relatively modest but hopefully building as we start to launch our new products let's just say that with our own IP in let's just call it non-COVID application areas. So those three revenue streams running through building. But as Jez says we're looking at this market as a minimum like $200 million market by 2025. And we've said that openly with everybody last time but with lots -- this has the whole market of hundreds of products, hundreds of customers. It's not one product and it's not one customer. We don't want to be there. It's like the old API days of a lot of companies. We had an API in our stock a few years ago. It's great you get them in but they're not very -- they're pretty volatile. So for us it looks like a very good expanding opportunity for us. Our job is really to update ourselves every year as we progress through the conversion rates through these projects and these clinical programs through the next few years. So at the moment three revenue streams coming through in the next couple of years.
Sebastian Bray: That is helpful. Thank you. If I quickly follow-up. I don't want to outstay my welcome so to speak. As a rough guess if I look at expected some of the RNA flu doses and then your potential revenue split, is it fair to say that $200 million is roughly 50 COVID, 50 non-COVID in terms of the split or could you comment on that or?
Jez Maiden: Today or…
Sebastian Bray: No, by 2025.
Jez Maiden: We won't comment on that.
Stephen Foots: I mean, we don't know. I mean, yeah, but I think $200 million will be certainly a good number for us. And a lot will depend on the speed at which the clinical programs present. And the flu -- the combination of flu and RNA is something interesting, which again it's in research, advanced research we'll see where that takes us as well. So we can't comment because we don't know, not because we're trying to be evasive.
Sebastian Bray: Just a quick one on the quantitative side. Am I right in saying that the dissynergies now guided for PTIC, net of any contractual additional volumes or tolling arrangements is about £10 million? Is that right from the number or what was shown or…?
Jez Maiden: Yeah, that's the right order of magnitude. So the -- yeah, the dissynergy costs are essentially costs, which are currently borne by that PT business, but which don't change. I mean Steve might have good examples of that because obviously we charge all of our cost to sectors. And -- but of course it will be transitory. The whole idea here is to release the capital from the majority of the PTIC business and reinvest it in the Consumer and the Life Science. So clearly as we look forward two, three years you would expect to have the same sort of revenue certainly more profitability. So the dissynergy costs will be there post sale, but only until we redeploy the capital fully.
Sebastian Bray: Thank you.
David Bishop: Steve, there's a related question on the lipid systems from Sam on the webcast, he says Pfizer recently spoke about their relationship with Acuitas. How does this impact Croda in the medium term with regards to future projects outside the scope of the COVID contract?
Stephen Foots: Yeah. I mean, we view that positively because what it's basically saying is Pfizer are fully committed to their R&D program to really invest heavily in the new generation platforms with RNA. And Acuitas have technology ownership to some products in lipid systems. So what Pfizer have done is they've agreed to effectively a scale-up license, a manufacturing license of some arrangement. So Acuitas are the owner of the technology and then they don't manufacture. The job is then partnering up with the Crodas of the world and ultimately the Pfizers of the world to make sure that they can -- they could utilize their R&D and use that through either scale-up or scale-up through with partners. But that's a big confidence boost for the world of RNA because it's basically saying that they're moving very quickly. There's 10 different agreements. So there's a minimum of 10 different types of products. And it's back to our point that the rollout of this through clinical projects, it won't be one of -- this isn't one product that's going to get commoditized like you might see in the battery world. We don't see it like that. There are some companies that have invested in that and you see prices drop very quickly. This is very science-driven, lots of complexity and lots of tweaks needed for specifications and products to stay. You're all about stabilizing the mRNA. And that's tricky in different applications. So we like that because we like the complexity of it.
Georgina Fraser: Morning. It's Georgina Fraser from Goldman Sachs. It's good to see you in person. Thank you very much for having us here.
Stephen Foots: Same here as well.
Georgina Fraser: I've got three questions. The first is if you could comment on, how you think prices for lipid systems outside of coronavirus applications might look? The second question is a clarification from your print this morning. It said that in Life Sciences the double-digit growth can continue in patient health. And I was wondering if you could clarify, if that was across all three of the platforms or just specialty excipients and vaccine adjuvants. And then my final question is, we've seen last year Consumer Care the top line outgrowing the bottom line, which is not necessarily the typical Croda model. Wondering at what point in time the bottom line will start outgrowing the top line in Consumer Care again?
Stephen Foots: Yeah. Okay. Yeah. So on the price, yeah, I mean we don't expect -- we're not factoring in any attrition, significant attrition in price in the lipid space, generally I would say. But in particular in non-COVID applications, what you find is we've got a lot of intellectual property in that space as well. And I don't think -- back to the point, before it's not one product that's going to drive this wherever it's going to replicate the same product. I think you've got to -- it's on a case-by-case treatment-by-treatment basis. And there'll be lots of slightly different -- similar technology platforms look slightly different. So we're not factoring that in. I think the big thing for us and for you is how quickly can we -- can these be commercialized through the pipeline and what does that mean for us because the revenue stream and the profitability in those products is very high as you'd expect. We really want chemical industry risk pharmaceutical margins. That's what we want in our products. And we think we can do that in most because we're selling to effectively a specification. It's a slightly different risk environment which we're looking at through our risk frameworks. But ostensibly, it's a different margin you can get in pharmaceuticals. Jez, on Life Sciences, do you want to -- and I'll come back on the -- well on Consumer Care on the shape of that.
Jez Maiden: Yeah, fine. Yeah. So the double-digit growth. I mean, we always said on the first platform which was specialty excipients, which is one we've grown organically over the last 10 to 20 years and then moved into these areas on biologics and oncology drugs and so forth. I mean, we certainly see 10% to 30%, which has always been our medium-term range on that platform as ongoing because there's lots of opportunities there. We doubled capacity last -- well we brought that on stream at the beginning of last year. And that will last us three to five years. So we're thinking about the next project sort of in that. So definitely see very strong growth continuing in specialty excipients. I mean the vaccine adjuvant smaller business that we acquired through Biosector in 2018 but really, we could sell as much as we could build the capacity. Every time we build we expand capacity. And as Steve said we doubled capacity last year. It's sold out within a few months. So we think the opportunities in vaccine adjuvants from a smaller base is very exciting. And then the lipid systems absolutely. I mean as Steve said I think -- what we're trying to do at the moment is bridge between 2021 and 2025 I guess in terms of lipid systems platform which is why we sort of say look it's $200 million today and it will be we believe $200 million then but a very different mix. And of course from there as that mRNA market rises towards the $35 billion that Steve spoke about then our share of that market means that that should be growing very rapidly as well. But clearly, we're getting from this slightly unusual position of sort of single product single application to the classic Croda position of a big portfolio of customers' ingredients. So they'll all be driving growth for long -- many years to come in our view. In terms of Consumer Care probably 2021 is the low point. And then I think we would expect to see margin move forward in '22 and beyond. I mean clearly, it's just a function of math. It's the dilution effect of having a full year of Iberchem having acquired it in November of 2020 and its margin is in the mid to high teens sort of natural level. And clearly even at the top of that industry you're only looking just into the bottom end of 20%. Whereas in Personal Care last year we achieved 30% and that's despite high remuneration charge from the bonus and share plan base costs that drove there. So that's the one-off dilution effect effectively. And unless we see exceptionally strong growth from Iberchem more we do some more acquisitions in that space which are dilutive then you'd expect the margin in Consumer Care to move steadily forward. Certainly, into the high 20s we believe is achievable over a period. And when you think about the drivers to that in Iberchem we're investing now you're going to have the sales synergies coming through that Steve talked about the €48 million by 2025. You've got the benefits of -- we haven't talked about it but the ECO plant in the States where clearly that's moving from a loss situation to a profit situation. So that's additive of course. It's not exclusive to Consumer Care but Home Care and Personal Care Beauty Care were the big drivers behind that area. You've got strong growth in Beauty Actives which is always mix beneficial to Consumer Care. So I think you've got lots of reasons to believe that there's going to be good margin accretion. It would just be a little bit noisy depending on the relative rate of growth of fragrance compared with the personal care market in particular. But yes, good strong opportunities there. 
Charlie Bentley: Charlie Bentley, Jefferies. I just had -- just wanted to follow up on the kind of commentary around lipids into kind of 2023. I know obviously we're quite a way away. But I mean as you talk around the balance of those 2 of the kind of three pools there can you just give any kind of indication on the absolute level where you think it might be today? And then you've talked about Nicola's question around kind of like investing in organic growth. If we talk about M&A priorities I mean are they still squarely bolt-ons in life sciences or I mean there's an indication on personal care there? Yes just any color you can give there. Thanks.
Stephen Foots: Yes. Well I mean we'll start with the M&A. I mean M&A for Croda is -- the organic growth model has got a long way to play out now. We're very pleased with the acquisitions that we've done recently and we see a lot of growth opportunities there. And you can see that we're investing in that both in capital, but also in knowledge in research and in clever people. So we expect that to continue. But we've also got the option. We've got great optionality now once we get the proceeds from the sale that gives us flexibility to look at different things as well. But the priority is organic growth plus probably bolt-ons. We like the Avanti-type model. I think you do as well which is knowledge. It's a knowledge -- you're buying knowledge. You're buying 125 people and you're buying 100 of them maybe 110 of them are scientists. So you're buying clever people. And what we do is commercializing that knowledge. And that's what we do very well. So that's the type of business that we're looking at. And there's no surprise if we see opportunities in the drug delivery space we'll move pretty quickly, if we thought that was the right thing to do. But we'll also spend quite a bit of time looking in sustainable ingredients positioning of consumer care as well because there is a shift there. You can see it. We can feel it. And when we talk to our customers that's structural. And we saw it before the pandemic to a little degree to a small degree, but now it's firmly embedded in the mantra of all the big multinationals. They're all moving away from petrochemical-based ingredients L'Oreal, Unilever more to follow. They'll lead the industry in that way and we're starting to see that with the rest of the industry following. So that's the sort of the direction of travel from an inorganic point of view and there should be no surprise there. In terms of 2023 it's a good question I'd say. It's a difficult one to answer you but we're very heartened with the revenue streams emerging from these three different areas. The big -- with our big partnership a lot will depend on where we are with the rollout, where we are with the booster program, where we are with the vaccine combination hybrid mRNA-type product. And that has a -- that could have a very positive effect as well. But I think it's -- it will be a healthy revenue stream and it's not going to deteriorate to nothing as some people say. I mean we've got revenue stream. We're contracted. We'll get what we will get from our share of our big contract there. The question will be the other two revenue streams how quickly they progress. And I think it's too early to say because we could caught a number, we can give you a number. And I think that's difficult to back up at the moment. I think as we go through the year we can start to see what that looks like. But again as we say we're heartened with and very encouraged with 2025, 2024, 2025 plus where you can start to see this business emerging as a really -- a great Croda business like a nascent Personal Care business for many years ago with a very different shape to it. So, yes, I think that's the difficulty of putting a big number on that. 
David Bishop: Thank you. There was a question from Andre on the webcast Steve. Asked about guidance on use of disposal proceeds. I think you've largely covered that. Anything you want to add on use of proceeds from the PTIC disposal? 
Stephen Foots: Well I think we just say the capital allocation policy, which Jez led when he first came to Croda it's very clear very consistent. If you look at -- in the pack Jez's last slide just shows you how we're consistent with that. We have no problem -- we'll follow that through. So we first look at capital investment in the business. We then look at the shape of M&A as an opportunity going forward for us in the next 12 months -- 18 months. If we don't need or if we have spare cash that we don't need to deploy in either of those two areas then we'll return it. We'll return it in the usual way and we've demonstrated that in the past and we'll demonstrate that in the future. So we're not going to sit on an inefficient balance sheet for any length of time. But I think it's fair to say most of our investors will want us to invest in the business if we see some good opportunities for -- particularly if it's into these exciting fast-growth spaces. So that's what we'll be looking to do if we can. But we're not here to waste money. We're here to do the right thing with it. 
David Bishop: We go back to Adam for questions over the telephone line please. 
Operator: And our first question today comes from Matthew Yates of Bank of America. Matthew, please go ahead.
Matthew Yates: Hi. Good morning. Apologies, I couldn’t be there in person. A couple of questions please. Amazing job to pass-through so much raw material inflation. But can I ask about the volume trends in Consumer. I think you had 11% volume growth in the first half. So if you're saying 6% for the full year, I guess, is that implying that the second half was basically around flat? Is that right? And is that the sort of expectation that you're seeing in early 2022? And then the second question is around NPP. And I think that's Slide 6 in your deck. There was a notable step up. But as you're saying it's -- most of that was acquired. So is a 60 basis point increase organically and actually over the last two years is negligible? So I guess the question is are you getting enough innovation coming out of your internal efforts, or is it simply the target is to offset the natural attrition in the portfolio in order to protect your overall sort of pricing and profitability model? Thank you. 
Stephen Foots: Yes, right. Thanks, Matthew. Yes, so NPP first then. Yes. I mean the way you should look at that is what we've seen in the last two years or three years, the innovation is not slowing down in Croda. What's happening is the base -- the non-NPP business is growing very well too. So what you're seeing is normally you'd expect your NPP to outstrip your base business, but because we've seen this rebound and this resurgent Personal Care recovery in industrial markets what you see is the base business coming back very strongly too. So whilst the numbers aren't the percentage of NPP is not changing significantly you shouldn't read into that the innovation projects that we've got. So that's -- it's more an effect of the non-NPP rebounding much stronger than that. That will reach its natural level and NPP will then outstrip that. I think the other thing to point out though is, we want to buy knowledge. We want more knowledge in the business anyway, because I think every company has to keep reshaping and keep doing things differently. So it's about moving into new markets, but with knowledge. And in Avanti and in Iberchem, they've got a lot and you'll see that as we start to show you those facilities. You'll start to see, they've got some great innovation programs and quite a high level of R&D skill, much higher R&D in their businesses than in the average Croda business across the board. So that's the direct to travel we want to move anywhere. So we would expect the NPP growth, generally, anyway, to move ahead of a more stable looking non-NPP environment, when things start to moderate in the next, probably, a couple of years. So that's that. I mean, it's a good point on the price mix. I mean, we're sort of exiting around about 5% volume in the price mix, generally, for the company. And consumer care was below that. But a lot of that is a function of just capacity. We're flat out on a lot of our units at the moment. And the order book is strong now for well into this year, much longer. Our outstanding orders, for example, are much bigger than we would normally expect. But I think, that's more an industry issue than everything else. But it's a reflection of demand. Demand is strong. So our model for this year is, clearly, there's quite a lot of price riding into this year with some probably modest volumes in consumer care. We'd expect some volume growth in personal care, as we've been investing in the past for this year and next year, but it will be relatively small low-digit volume growth for consumer.
Jez Maiden: Thanks, Steve. Yes. Hi, Matthew. I think, as well, think about the comparatives for last year. I mean, the first half, obviously, was compared against quite a weak first half of 2020, because of the COVID impact, which was sort of down 20% in consumer care in the second quarter of 2020, whereas we'd already seen full recovery by the end of 2020 and therefore, the growth last year was on top of that. So I think the overall 5% volume growth is very encouraging on top of that. The other element was that home care was relatively weak last year, because it had such a strong 2020 on the back of hygiene demand. But we saw good growth in personal care, particularly at the top end. And as Steve says, I think, going forward, that mid-single-digit growth excluding raw material inflation recovery that should be a good mixture of volume and mix driving that mid-single-digit growth. So we're quite comfortable around that.
Stephen Foots: Okay. Matthew -- 
Matthew Yates: Thanks for that.
Operator: The next question will come from Chetan Udeshi from JPMorgan. Chetan, your line is open.
Chetan Udeshi: Yes. Hi. Thank you and morning. Can I ask a question on the price mix in the life sciences business, which, at least on my numbers went to like 29%, 30% in second half from 42% in first half? So can you comment on what's going on within the mix in the life sciences? I know there are different businesses, but is -- I mean, the key question there is, is there a read on pricing in any of the businesses in second half versus first half? That's the first question. And then, there was an interesting slide in the deck showing the growth by different subsegments within consumer care. And clearly, the beauty actives part seems to have grown much faster. But when I still do the math, ex the acquisitions, ex the home care business, the margin is still sort of 29% to 30%, which is still quite a bit below 33% 34% that you guys had in 2019, I think. And so, the question is, even with the mix going back in those old personal care business, why is the margin still lagging so much? Thank you.
Jez Maiden: Yes. Hi, Chetan, so in terms of life science I think, it's -- well, it's the mix that's going on there. So there's no price erosion or anything happening in the -- in any of the platforms and in particularly, in the three patient health care platforms in health care there. What you got in the first half here is, you've got a very, very strong growth. We were up over 60% in sales in specialty excipients and vaccine adjuvants in the first half year. And that was really a function of really uncorking the bottle. That's when the new capacity came on stream in both the US specialty excipient plant and in vaccine adjuvants in Denmark. And so, you had this sort of release of pent-up demand where people were waiting obviously for -- and in pharmaceuticals, you can have several months of stock basically in the pipeline. So, people can manage on a longer wait. So, you had this, very strong sales of sort of 60% in the growth in the first half, and then in the second half it settled down to more sort of growth in those two platforms in the 20s and therefore overall growth of over 40%. And as I said, the 20% growth is much more consistent with where we see growth being 10% to 30% on those two platforms going forward. So because you have that big effect, that's why you get this price mix change although 35% price mix is still pretty stunning, I think in terms of delivery. So there's absolutely no price erosion going on in there. We've got a contractual price reduction in the second year of the principal contract in lipid systems, which reflects the fact that obviously we're now in full scale production and therefore the efficiencies and so forth improve. But that's the only built-in price reduction. As we've said we expect pricing to remain strong, particularly as lipid systems develops into a wider portfolio of products for different customers. In terms of personal care, I think the key difference between 2019 and 2021 is the remuneration charge. As we note in the statement remuneration charge is about 2 to 2.5 percentage points of margin. There were no bonuses paid in 2019 and the share-based payments were relatively low. And they were very strong last year. Croda's variable remuneration, which affects the top 600 people in the organization, is very much about profit growth year-on-year. And although, 2019 and then 2020 were pretty decent performances, they were still down by 5% to 10% in terms of profit. So, there was no bonus paid. In 2021 you've got a full bonus. And of course, you've got a very strong share price into the end of the year. So that's about 2.5 percentage points. So as I said, personal care sitting around about 30% return on sales. If you grossed it back up you'd be at 32.5%, which is pretty much around the 33% peak that you referred to back in 2019. So, it's just a function again of all of these costs have to be borne by the sectors and therefore, you're going to get a bit of volatility according to what's happening in those variable remuneration programs. Other companies, BASF, et cetera, they pull them out as a separate division but we don't do that. We allocate it to the sectors in our reported numbers.
Stephen Foots: I think the other thing Chetan as well is, we look at it from a divisional point of view. We judge them on gross margin. We're glued to gross margin in the business. It's a good crude indicator for us. And we're not seeing any gross margin attrition in any of the businesses. And it's actually quite consistent across them all where you're seeing this robustness. So we're navigating well through the inflation environment but the central cost adjustment is significant. And we can talk to you about that separately, I'm sure. Okay?
Chetan Udeshi: Thank you.
Operator: The next question comes from Charlie Webb of Morgan Stanley. Charlie, please go ahead. Your line is open.
Charlie Webb: Good morning, everyone. Again, apologies for not being there. Just a couple for me. So just first off on the CapEx into healthcare obviously, another chunky investment year ahead. Perhaps just give us some more details in terms of which platforms that's kind of been allocated to. You mentioned high purity excipients already have capacity to grow into. Just trying to understand where that's going. And maybe if you could let us know the type of payback you would expect on that investment. Second question just on working capital. Obviously, quite a big working capital build in 2021, what do you anticipate there in 2022? You built up some stock. Just wondering whether that allowed to repeat unwind, et cetera, for 2020, would be helpful. And then, lastly just on Consumer Care. As you think about the mix heading into 2022 what trend -- do you continue to see -- do you expect to continue to see beauty actives effects, et cetera, outgrow kind of formulations homecare? And therefore, just trying to sense where does that take margins plus -- at this point, for consumer care in 2022 relative to where we ended up in 2021?
Stephen Foots: Okay, Charlie. I'll let Jez do the working capital one, and I'll kick off with the other two. I mean CapEx healthcare there is a slide in here. I don't know if you've seen it but it describes that sort of the third slide of the biopharma pack. I mean, extensively what we're trying to do is the Avanti model is a great preclinical model. It's a preclinical machine, and it's getting samples out to all of these pharma companies. They do that very well. We've been scaling that up with people resource to turbocharge that. We don't really know how many preclinical projects we're in but we're in a lot, which is great. But their model wasn't great at capturing the future growth when they came through the clinical programs because they outsource that volume to other providers, CDM or other contract manufacturers call them what you want. So our job is to then build that capability. So we decided to build that capability in North America. So the idea there is in our Mill Hall facility just around the corner, we're looking to invest space there to scale these things up. So it's all about scaling up and expecting some of these clinical programs to be successful and being available to scale those up there. So there's investment targeted there and also in our UK lipid facility there as well as we plan for future growth. But I mean the paybacks are very modest. The paybacks are very fast very modest. So they're in the region of about three years payback maybe even less than that. And it's not a huge infrastructure we're putting in. We're building kilos – kilo quantities rather than oil refineries as a saying. These are relatively small but they've got to have flexibility to refine purify and separate. That's effectively where the craft is and we've done that for 40 years, 50 years pretty well. So it's more in that area if – and you see that on the slide. So that was the – that was the working that was the CapEx. In terms of mix, I mean I think the Actives – if you look at the Consumer Care mix, we say – as Jez commented, we expect margins to generally move upwards over the next near-term and medium-term steadily, we would say. You're going to see the mix I think between as you say the Actives and the formulation area will be broadly similar to what it is now. I think we would expect the Actives business to grow in percent levels higher than the formulation business. It's a – well it's a smaller business. But I think – and we're not disappointed with the formulation growth as well. So I think that sort of ratio is about right where it is now for this year. And I think the other drivers are things like as you say ECO. We're now starting to displace a number of petrochemical companies in formulations now on the back of L'Oreal, Unilever's moves, big statements on moving to buyer base by 2030 for both of them. You're starting to see that. We're seeing that quite significantly. So we expect a profit move forward therefore in the Mantis [ph] unit. And therefore that tends to benefit more the Consumer Care business than it does the Life Science business. So we – the few drivers there and also just the pace of the projects that we've got. If you look at the number of projects that we've got in the pipeline, we're starting to see our big customers really now moving with some of them. There's been a delay at the – during the pandemic as you'd expect. But a lot of this is sort of pent-up innovation demand from their R&D stables as well. Jez, anything on either of those and then you on working capital? 
Jez Maiden: No, nothing to add I think on those Steve. On working capital Charlie, so we have these two components £70 million increase, which is sort of pro rata to the increase in value with a constant number of working days covered. So I'd expect that to drift upwards at the moment from what we can see because obviously, we've got price increases as Steve mentioned in the first quarter of 2022. So the values I think will be up a bit but not at the moment by that order of magnitude. And then on the tactical contingency stuff that we held £45 million of extra stock, one would hope that we could start to allow that to reduce now and to reverse. It is incredible. I mean it's been a really stellar performance in terms of 2021, but it's been delivered against the backdrop of much increased customer demand at a time of really challenging global distribution position and the teams internally have worked superbly well, both at manufacturing level and at sort of customer service and distribution level to overcome those problems. We're starting to see some normalization now in the distribution chains around the world not quite so stressed at ports and so forth because I suspect that's added about two weeks to our stock that's been on the water, just the difficulty of getting things through ports. So, that hopefully is starting to normalize now and that could mean that the tactical inventory should reduce. So, I think there will still be a small working capital built in '22 but nothing like the same scale as we saw in 2021.
Charlie Webb: Pretty helpful. Thank you, very much.
Jez Maiden: Thanks, Charlie.
Operator: Our final telephone question comes from Isha Sharma from Stifel Europe. Isha, please go ahead.
Isha Sharma: Hi, good afternoon. Thank you for the presentation. I have just one left please. The Iberchem margin was already impacted in 2021 as far as my calculations show and this was probably due to the raw material costs, which is in contrast to the F&F players, where they haven't seen any impact yet, but they guide for 7% to 9% inflation in '22. How should we think in general about Iberchem? How comparable it is to their guidance? And what kind of margin impact are you expecting after the already low margin in 2021?
Stephen Foots: Yes. Okay. I'll start and then Jez can add. I mean -- yes, I mean, we've been very happy with the trading performance. It screens for about 10% underlying sales growth and it's just a bit below that at the moment. But when you think about it, they've had a perfect storm because they're in most of the emerging markets that have been really in heavy-duty lockdown for most of the year. So, yes trading performance is good despite that. So we're pleased with that. Margins, yes, I mean their raw material increase through the year was significant. It wasn't 17%, but it wasn't far away from that. So of the region of about 13% to 15%, I'd say. They don't have any clever hedging systems. They just take it like we do with raw material costs every quarter. So they've had that. They've carried that through the year. I think that will moderate through the year. So that's obviously a help to margin improvement as well. So I think the worst of it is behind them, whereas with some of the other players I think because of whether it's hedging or other things they have to carry that into the year ahead. So the margin headwinds for some of the bigger players are more significant than the smaller ones. Well certainly for Iberchem. So for us, we -- I'll let Jez comment on the numbers, but we've had a drag on margins this year of 2021. So we expect some of that to come back next year.
Jez Maiden: Yes. I'll agree Steve. Hi Isha. The other thing to remember in the Iberchem margin short term is we've put additional cost in like Avanti, but not in the same scale. We've put an additional resource, so that we can really take advantage of these sales synergies. And therefore, I think, while you've got a little bit of short-term dilution in line with our acquisition plan, the midterm prospects look good. I mean, we think that with those sales synergies, every reason to believe we can get the margin on Iberchem to be sort of consistent with the best-in-class of the Tier one players, even though Tier two players have traditionally operated probably two or three percentage points below that. But because of the synergies, we can release by leveraging the Croda sales force and leveraging our strength in developed markets, while -- than getting more sales particularly in the Consumer Care business from their emerging market exposure, the Iberchem performance itself margin should certainly get up into I guess the low 20% EBITDA margins that you see at the top end of this industry. So I think yes, a little bit of short-term investment to make sure that we deliver midterm margins that are best in class. 
Isha Sharma: That's very helpful. Thank you. Just maybe, a conclusion. Is it -- does it make sense to assume the reversal of the share-based compensation, negative impact of 2% next year and take the underlying margin, as what we have seen in the second half for the group? Is that a rough calculation makes sense for you?
Stephen Foots: You have a lot of Croda people on this call as well by the way. And we would be delighted to pay a full bonus next year -- this year, very much delighted for the bonus and the PSP. But yes, we quite like it. We like good bonuses as well. But yes, it will be what it will be. But it's been a significant impact this year relative to a couple of other years. That's for sure. 
Jez Maiden: For Croda, we got we're very proud of the fact that over 80% of the UK workforce members of share schemes over 60% of the global workforce are members of -- that use of share-based payments is very strong across the organization. And there's two functions really. One is performance, but the other is share price. And of course, the share price was very strong at the end of the year. So that -- as Steve said, it will be what it will be. I wouldn't like to make any assumptions.
Stephen Foots: And finance directors know better than the chief execs by the way. No and I think the other thing we would say as well is that, we just agreed a free share plan for the company. So when the senior team of 600 get a bonus, then we expect free shares to be delivered down the organization. So everybody in Croda, even the junior levels, gets a share of that as well. And we think that's very much good for distribution of the reward. Everybody has been involved in a great year, great resilience from the team in, what's been very challenging and we've delivered knockout results. So they should benefit from that as well. 
David Bishop: No further questions.
Isha Sharma: Yes. I'll check your page on Croda. 
Stephen Foots: Well, thanks for everybody who's attended, both in person and on the call. So it's great to see you all and we'll see you when we see you in the summer. All right. Take care. Thank you.